Operator: Greetings and welcome to Energy Vault’s Third Quarter 2024 Earnings Call. [Operator Instructions] And as a reminder, this conference is being recorded. It is now my pleasure to introduce to you Michael Beer, Chief Financial Officer. Thank you, Michael. You may begin.
Michael Beer: Thank you. Hello, and welcome to Energy Vault’s third quarter 2024 financial results conference call. As a reminder, Energy Vault’s third quarter earnings press release and presentation are available now on our investor website, and we’ll be referring to the presentation during this call. A replay of this call will be available later today on the Investor Relations portion of our website. This call is now being recorded. If you object in any way, please disconnect now. Please note that Energy Vault’s earnings release and this call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only estimates and may differ materially from the actual future results, and they may vary due to a variety of factors. Please refer to our 10-Q filing for a list of factors that cause our results to differ from those anticipated in any forward-looking statement. We undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. In addition, please note that we will be presenting and discussing certain non-GAAP information. Please refer to the safe harbor disclaimer and non-GAAP financial measures presented in our earnings release for more details, including a reconciliation to comparable GAAP measures. Joining me on the call today is Robert Piconi, our Chairman and Chief Executive Officer. At this time, I’d like to hand the call over to Robert Piconi.
Robert Piconi: Great. Thank you, Michael, and good afternoon and morning and evening to everybody here on the call. Thanks for joining. I’m going to break precedent a little bit and start with how I normally finish my calls on our quarterly earnings, and that’s starting with our people. And one word comes to mind, resiliency, not a new word or concept working in the energy storage world for us and generally storage solutions and grid resiliency. But in this case, I would like to recognize is a word that applies to our people here at Energy Vault. In the last 90 days, in particular, we’ve seen tremendous change and volatility in the capital markets, in the geopolitical landscape, which continues to bring uncertainties, unprecedented energy demand to support what we see driven by data center expansions and the resurgence of interest in any clean or fossil power to meet it. We’ve seen a lot of the news on SMRs, even Microsoft taking its interest in the Three Mile Island nuclear plant, a gap in power that clearly needs to be closed in terms of an economical solution for 24/7 dispatchable renewable energy. So it seems this future has arrived a little earlier than planned, and it will take the most resilience of all of us and companies and leadership and courage and the people that make up the foundation here of Energy Vault that I’m so proud to work alongside. We’ve just had the U.S. elections complete last week, always can be polarizing in some cases, as we’ve seen in the last elections, but in particular, around our national commitment to renewable energy and to clean power and meeting that rising power demand, which I believe in any outcome of the election will still support a healthy clean energy transition, and it will prevail. Strong, tough, robust, flexible. These are all synonyms for resiliency. As I was writing some of my thoughts and comments, it actually came up in the spell check as synonyms. But really, these words represent the foundational core of my colleagues here at Energy Vault that I work with, and I’m humbled to support every day due to the impact that we can have and that we see starting with our local communities that make up the global communities that our teams touch every day. I want to touch on a few examples from some recent travels on these themes and sticking with the theme of resiliency, I just spent the last few days late last week in the community of Calistoga, California, where what we call our CRC, our California Resiliency Center, has achieved mechanical completion and beginning soft commissioning activities of what’s the largest hybrid green hydrogen energy storage system in the world. Craig Horn, who leads our advanced energy storage technology group, was there to host me along with Irwin Tanu, who is our Head of Commissioning and has been, by the way, to all of our initial sites in the United States for the first gigawatt hour across three projects that we turned over in 2023 and brought up in unprecedented time frames. These time frames, I would say, not by accident, but through an approach we have taken due to the experience of our software development and team, that experience that while new as a company at Energy Vault brings people with 15 years plus experience in energy storage during its infancy and its growth, in particular, the last 5 to 7 years, also on a multi-technology battery storage integration experience. And the ability to turn up these systems quickly and efficiently not by any luck, of course, but through cell-level monitoring, for example, to detect problems well before they’re going to manifest themselves, even pre-building digital twins of the site design and environment. So no stone is left unturned as we go from mechanical completion to system turn-up. This planning enhances all of our execution in the field that our customers uniformly would speak to. Very happy others supported the visit there, including interactions up in Calistoga with the local business owners and community advocates that are excited to have a sustainable solution to the noise and pollution from diesel generators that were part of their past now wheeled in every year for the fire season, for example, or to deal with what’s called PSPS or public safety power shutdown events. But a healthy amount too of wait and see as I spent and interacted in the local community, is it safe? Will it be noisy? And that 150-foot long tank filled with green hydrogen. In the end, we’re very excited as is the local community there to bring up this system, be the first of a kind in a microgrid, first of a kind for green hydrogen energy storage and something that we’ll be replicating. But it all starts here with the local communities and that impact. And as I reflect, in particular, on the last 12 to 18 months, Reid Gardner in Nevada was a large coal plant, one of the largest polluters in the state of Nevada and us delivering a 440-megawatt hour system there in an unprecedented time frame from 4 months from taking control of the site. With a hybrid system delivered with Wellhead Electric in California to the local Stanton, Orange County, Southern California residential community, where our 4-hour 275-megawatt hour system allows the gas plant to operate less frequently, reducing GHGs by up to 70% to 90%. Hal Dittmer, for those of you that might have heard the name, a real pioneer in the state of California and the community, 84 years old. I hope he doesn’t mind me saying that, but would not put him past the age of 55 if you see him on the street. All about the impact here, and I would really be remiss with not spending a few minutes therefore on my recent visit to Australia and the team there regionally led by Luca Sadler on the commercial side, Aaron McCann on the execution side. We’ve talked about the Australian market and have made a few announcements here in the last couple of weeks, all of fairly large scale. And given the size and importance of that market, the coexistence of many of our strategic investors, including Korea Zinc, the largest nonferrous metals producer in the world and their wholly owned subsidiary, Ark Energy, BHP, one of the largest mining and iron ore companies in the world, just to name a few, all investing in their own clean energy transition. But I was most fascinated by the local government support from the meetings in Melbourne, for example, with the Victorian Energy Minister, Liliana D’Ambrosio, Head of the State Electricity Grid or called the SEC., and the longest tenured energy minister in all the Australian states, a woman of great vision, great passion, focused on what needs to be achieved and ever cognizant of the how things are accomplished as more important necessarily than the final result that’s achieved. We look forward to large partnerships and projects there and have built a tremendous pipeline well over the 5 gigawatt hour range now of projects that we’ll be executing upon over the next 12 months in the coming years. While I was there, we announced the first of what we believe will be many project partnerships with Ross Warby and the team from EnerVest, the first 1 gigawatt hour project at Stoney Creek in New South Wales, for example. Excited about the potential given the development and the portfolio focus that we have as a core strategy and working earlier in the pipeline development with companies and people that bring the expertise to pinpoint the grid weak points and opportunities to support better grid resiliency. Anyway, it was a great week. Much of our core leadership team was there in person. We did a lot of planning for the coming years for the Australian market, including immediate investments in doubling the size of that team in the very near term and tripling the size of our investment in Australia over the next year, given the opportunities we see and the projects that we have underway. Shifting a bit now to our results before turning it over to Michael, who will go over some of the details of the financials. Just very encouraged by what we’ve seen in the last 3 to 4 months and the progress, starting with probably one of our most important criteria and indicators of the future, which is our revenue backlog, which grew by over 33% in the quarter, supporting now as we look to the revenue ramp we have coming in 2025 plus. While Australia, of course, will play an important part, very happy to announce new projects in the United States. We recently announced the Gridmatic offtake agreement of our Texas site, a battery site that we’ll be building, owning and operating. Fairly quick turnaround there will be COD in the second quarter of 2025, but also announced for the first time here on this call, a new project with Jupiter Power and always nice to be announcing additional projects with prior customers. I think a great example of building the faith and the confidence and trust of customers that have built projects with us that we’ve delivered to and feel very good about what the team has earned there in delivering for the first project and now a second project with Jupiter. I also feel great about our execution on our strategy to not only build and deploy these systems, but also to own and operate these storage assets. With the right development partnerships and the knowledge we have in designing, commissioning and maintaining these systems, that experience allows us to reduce the capital expenditure upfront through optimal design, allows us to reduce the operating expense it takes to operate these systems and to maintain them and at the end of the day, to ensure the availability of these systems and the uptime to ensure we’re meeting customer needs, we’re meeting the grid needs and meeting the needs of our expectations of our investors on the returns on these investments, which, of course, bring long-term revenue streams at very attractive margins. From a revenue perspective, this was clearly a transitional quarter as we get into our Q4 ramp now underway as we’ve previously guided, but now coming in Q4. But maintained the strong gross margins as we were finishing projects, gross margins achieved at 40% plus and on a year-to-date basis, 28%, which obviously bodes well for our finish for the year and our guidance of finishing the entire year at 15% to 20% unit economics and gross margins. Encouraged to continue to see our OpEx reduce both on a year-over-year basis, 13% and 7% reduced on a quarter-over-quarter basis. This reflects some of the changes we made in our technology and business model as we looked at our licensing models back at the first half of the year and the areas we’re going to be investing in and therefore, adjustments we made to our organization and the team supporting that strategy. Michael will talk more about some of the project financing that we announced and kicked off working with Jefferies on some of our first wholly owned projects in the United States, specifically in California and also in Texas. And while this reduced our revenue in terms of turning over projects and recognize revenue on the year, we’ve been very clear since we announced at our investor and analyst meetings in May of why that strategy is so fundamental to the intermediate to the long term and the growth and the interest of our shareholders in our long-term operating model. We believe this model will have a lot of dividends for the shareholders, but in particular, as we look into our planning as a company in the coming 3 to 5 years. We also have added more global assets for this new operating model, including what we are announcing in Australia, the development partnership we have with Enervest. But also we announced 3 months ago, the 100-megawatt system in Italy at their largest coal plant in Sardinia, Carbosulcis, where we’ll be installing and have just installed the first EV Zero gravity system there and are beginning commissioning and has a future for an integrated hybrid site with the coexistence of our gravity with batteries to deliver 100 megawatts of power to the local community. I’d be remiss if I didn’t mention a few of our innovation milestones as well. I already discussed about the green hydrogen system in Calistoga and where that is and what’s going to be the first of a kind and turned over here in the next 2 to 3 months, but also applying our gravity with what we announced with Skidmore, Owings & Merrill and integrating gravity energy storage in the future of superstructures. And in particular, using our modular pumped hydro approach with gravity and integrating these in these structures where for the first time, we’ll be able to have a carbon payback in very short periods in the building sector. There is some very interesting statistics. If you do study what creates most of our greenhouse gases, it may surprise you to know that almost 30% to 40% of the greenhouse gas emissions come from both the building and the operating of buildings. And because of that, we’re very excited to work with Adam Semel, and the team, Bill Baker, Scott Duncan from Skidmore, Owings, Merrill and the work they’re doing jointly with our team and our gravity technology expertise, combining that together. And you’ll be seeing more to come in the coming years as we look at the first projects for these superstructures across the world. I was also very excited to announce today is hopefully some of you have seen some of the performance data from our Rudong gravity energy storage system, 25 megawatt, 100-megawatt hour in China. And with performance measures, as we previously guided in the 80% to 85% range on initial data on the round trip efficiency. This is massively significant, I think, for the world, and in particular, in the long-duration energy space, the first milestone achieved and one of the highest round trip efficiency measures in long-duration energy storage in the world. Very excited what that means, not only for China and the other 4 gigawatt hours plus of projects that have already been announced there in China alone, but also what it means for some of the other regions where we’ve announced initial gravity projects and license agreements, for example, in the 16 states of South Africa and surrounding countries as well as in other regions of the world where we’re beginning development in the Middle East and even right here in the United States, starting with our Snyder Development Center. Very excited about what these initial performance measurements are telling us about the role that gravity can and will play as part of many solutions and technologies for the clean energy transition. Finally, it was just announced last week and excited to recognize the team by what Time Magazine recognized as one of the best inventions in 2024. And really a tribute, I’d like to mention Bill Gross, who was really the founder of Energy Vault. I know myself and Andrea Pedretti carry the titles of Co-Founder of the company, but it really started with Bill Gross, his vision, his passion, his never give up attitude to look at different ways to solve unique problems in energy storage, really appreciated the role that Bill has played both in my career in renewables as well as a co-founder, as the founder in Energy Vault here with our gravity energy storage technology, really just a tremendous motivation for our entire team. And I think these recognitions now that are coming as we begin to build out and people begin to see the some of the gravity energy storage take form on the planet and the recognition from Time Magazine is really a tribute to him, Andrea Pedretti. And now others that are carrying that on in different places and from different companies, Jose Andrade, for example, who is the Chair of all the civil engineering and structural studies at Caltech, who’s been working with Energy Vault now for many years since actually the very beginning of the company. And people like Bill Baker. Bill Baker from Skidmore, Owings, Merrill is the Chief Architect of the Burj Khalifa building, currently the largest building in the world at over 800 meters tall. Really excited to work with Bill and his practicality as you look at structures and design and he is working pretty much full time now with Energy Vault as we look at building structures and optimizing design for different structures across the world. So a significant recognition to those individuals plus all the teams at Energy Vault that have been championing and developing our gravity energy storage technology, everything from the mechanical, the civil side, all the material science needed to avoid, for example, the production of concrete, all of these things have come together with the software that automates everything and makes it all cost-effective and economical. A big call out to all those folks for this recognition. And finally, before turning it back to Michael to go over some of the numbers, I’m very happy to be reaffirming our annual guidance here as we’ve done all year. We’re tightening up that range a bit as we get into, obviously, this quarter, and now we’re within 6.5 weeks of looking at the end of the year. So we see the shipments on their way. That’s going to tie to the revenue recognition. Of course, a lot happening here in the last 6 weeks as we look at that, but feel very good about reaffirming that range and narrowing that a bit here as we look forward and look forward to a strong quarter of delivery. That’s both on our recognition of some of our range guidance that we had given previously, but also in continuing to build our bookings cadence and building that revenue backlog as we look at a large revenue ramp into 2025 and beyond. And with that, I’ll turn it back over to Michael Beer.
Michael Beer: Many thanks, Rob. As you noted, the company currently maintains a revenue backlog of $350 million, which increased 33% from the figure reported during our 2Q earnings results, reflecting an equipment contract with Jupiter for another 200-megawatt hour battery energy storage project and a 10-year offtake agreement with Gridmatic for the 57-megawatt 114-megawatt hour Cross Trails battery energy storage project in Snyder, Texas, the latter of which will remain on balance sheet as part of our build, own and operate strategy. As part of the strategy discussed during our Investor and Analyst Day back in May, management expects to retain ownership of approximately $100 million in cash-generative storage assets such as Cross Trails and the Calistoga Resiliency Center, rather than generate legacy EPC and equipment-related revenue through the onetime sale of those projects this year. While this will impact near-term revenue in exchange for long-term value creation for our shareholders, we are encouraged by the pace of this transition over the past two quarters. With construction of 2 battery storage projects in Texas and Nevada now complete and new projects ramping in the fourth quarter, the company reported minimal project revenue in 3Q and down notably year-over-year, with software and services contributing about $1.2 million in the period. As noted previously, we continue to expect revenue this year to be back-end loaded due mainly to the timing of equipment deliveries for our new project in Texas and in support of the ACE projects in Australia. Excluding the projects on our balance sheet, we expect full year revenue to be at the lower end of the guidance range with upside associated with the timing of revenue recognition from existing and potential license agreements within our Gravity business in Southern Africa and Brazil, respectively. Our gross margin was 40.3% for the third quarter, up from 4.2% a year ago, reflecting favorable revenue mix largely associated with software and services, albeit on a significantly lower base of revenue. Through 9 months of the year, gross margin is tracking at 28.3%, above the guided range of 15% to 25% for the full year 2024. However, given the anticipated back-end loaded mix of business in 4Q from equipment deliveries for our battery project in Texas, we expect the full year gross margin to normalize towards the low end of the guidance range, pending the timing of revenue recognition from high-margin license agreements within our Gravity business. Now on to adjusted OpEx and EBITDA. During the third quarter, our adjusted operating expense was $15.2 million, which improved 13% year-over-year and 7% sequentially quarter-over-quarter, reflecting the organizational realignment in the first half of 2024. 3Q adjusted EBITDA was negative $14.7 million, which improved 5% quarter-over-quarter, but weakened versus the year ago due to the timing of project completion and lower overall gross profit in the period. Other key noncash items added back in Q3 were $10.2 million for stock-based compensation expense, $1.9 million provision for credit losses, $800,000 for a change in the fair value of a derivative asset conversion option and $1.4 million in net interest income. Management continues to expect adjusted EBITDA within the range of negative $45 million and negative $60 million for the full year. On cash and project financings. As of September 30, 2024, the company had $78 million in cash, cash equivalents and restricted cash versus $113 million in total on June 30. Restricted cash increased to $26 million associated with a letter of credit for a project that has since received final completion. Our primary uses of cash are cash operating expenses and working capital needs associated with equipment purchases for our energy storage projects and expenditures for those projects we have chosen to own and operate, which will likely be largely offset by anticipated project finance and monetization of tax credits. Year-to-date, use of cash from investing activities increased to $48.3 million, mainly from construction in progress associated with our build, own and operate strategy. Management still expects our year-end cash balance to be within the range of $75 million to $125 million, depending upon the timing of those project financings, and the company maintains bonding capacity in excess of $1 billion to facilitate additional growth for projects both in the U.S. and in Australia. With the project financings for Calistoga and Cross Trails now underway with Jefferies, we expect to bring $60 million to $80 million in cash back onto the balance sheet once completed, including the monetization of tax credits. We expect to return $30 million from the Calistoga project anticipated to close by year-end. Meanwhile, we expect to return another $40 million from the Cross Trails project over the next two quarters. The company continues to execute on the build, own and operate strategy and has identified a strong development pipeline for storage asset ownership and infrastructure projects in the U.S. and Australia totaling over 30-gigawatt hours. We also see a host of advantages and synergies across our legacy business as we leverage our project management expertise, solutions-based approach and diversified storage product portfolio. While inherently more capital intensive than the EPC business, these accretive owned and operated projects enhance earnings visibility and our margin profile. Once completed, we expect these projects to deliver unlevered double-digit IRRs and project EBITDA margins in the 70% to 80% range, underpinned by long-term offtake agreements. We then look to optimize the capital structure of each project depending on the nature of the offtake agreement, available tax credits and use of project finance. With that, I’ll hand the call back over to Rob.
Robert Piconi: Great. Thank you, Michael. I think one last thing I’ll just emphasize there that you just went through. We’ve gotten some questions from investors asking to understand a bit how some of the own and operate projects will work and how the working capital flows, how the returns work. And Michael just walked through that. But just to highlight, these are projects and things as we look at building projects as well and understanding the dynamics of the CapEx and the OpEx for them. The returns on these projects that are our criteria for investing in them have been and will be and continue to be in this low double-digit unlevered operating range. The EBITDA margins as they go forward then, especially with – as you add project financing as we announced with Jefferies just a few weeks back, something that is very attractive, we believe, for creating these long-term revenue and predictable streams for our investors. And also as we leverage our expertise, and this is the other, I think, fundamental point with the experience we have in our team in designing and optimizing, and you can read that as reducing the CapEx associated with getting these projects built. We’ve built, I think, a strong reputation on the execution side. As you’ve seen since the very beginning of our company, we’ve always maintained positive unit economics, positive gross margins. That’s not something that’s common in our industry for those of you that follow energy storage, and I think it was one of the surprises as we came out and started to execute projects. So that is a strength that we will continue to leverage with the expertise with our team. And then as it comes to the commissioning of these projects, bringing them up the experience and the way we’ve developed and designed our software platform, Shaheen Prakhar, who leads our EMS software development with his team brings a lot of experience, by the way, across industry, not only from some energy storage, but also from the aerospace industry and things that we do to ensure that when we do get to the field, we do not have surprises. I mentioned earlier on about creating digital twins in our own operating environment. Our cell level technology for monitoring systems, so important when it comes to safety and dealing with lithium-ion is a fundamental technology and things our customers have come to appreciate. And as we look at and as we have brought up our systems on our first projects, done it very, very quickly, rapidly from mechanical completion to the uptick here as we look to manage and get to full COD on these battery projects. It’s something that we see as an opportunity and uniquely positioned to leverage, whether that be positioning and doing that work for some of our customer sets where we deliver some of our product innovation or other projects where we will invest and own and operate over time. With that, again, I want to thank all the people at Energy Vault and thank all of our investors and all of our partners that have supported our company and as we’ve executed here just the last few years. And with that, I’d like to turn it back to the operator for questions.
Operator: [Operator Instructions] And the first question comes from the line of Justin Clare with ROTH Capital Partners. Please proceed with your question.
Justin Clare: Hi, good afternoon.
Robert Piconi: Hey, Justin.
Justin Clare: Hey. So first, I just wanted to ask about the different ownership opportunities that you’re looking at here. And I wanted to see if you could share how much capacity could you potentially be looking to add to your balance sheet in 2025 or 2026? Just trying to think of the volume and then also the capital that would be needed in order to finance these projects and how you’re thinking about the funding sources.
Robert Piconi: Sure. Thanks, Justin. So as we announced previously there with Jefferies, we’re in the market and raising the funds associated with the attractive project opportunities. I think one of the things we see operating well in the market is the availability of capital for attractive and good returning high IRR projects. So we do not see really any shortages of capital there and also attractively priced capital given the market environment we see. And I would not restrict that only to the U.S. market. I mentioned Australia a bit. And from our perspective, I think we’ve mentioned some of the multi-gigawatt hour and in particular, in Australia with some of the pipeline there and the types of projects we’re looking at there that are all quite large. We’ve announced a few that are in the multi-hundreds, including the last one we announced, which is a full gigawatt hour. So we don’t see a shortage of opportunities to get capital deployed. We’ve built a reputation here over the last 2 years, in particular, to be able to execute well, positive unit economics and get projects turned over that are all operating well for our customers today. And that is attracting a lot of investor interest. And to answer the latter part of your question, we don’t really limit our thinking there for attractive projects in the way we’ve already been able to scale the company. So looking at things in the hundreds of millions of dollar range in terms of putting capital to work and especially given if you look at our cap table and some of the strategic investors on it, we’ve got a lot of different sources and a lot of investors that are very interested in working with us on getting capital deployed given the experience that we bring to the table.
Justin Clare: Okay. Got it. And then just a follow-up. Curious, given that you could own projects or you could essentially deliver the batteries and do the EPC for a project and recognize revenue essentially immediately, wondering how you’re thinking about the different approaches and how that might affect the outlook for 2025 and the targets that you’ve provided at this point?
Robert Piconi: Sure. By the way, it’s a great question. In all cases, we’re looking at, of course, the commitments that we made that came out of our first investor and analyst meeting, why we’re happy to be reaffirming and tightening a bit that guidance here as we look at this year. But as we think about next year and the guidance that we’ve given and given the backlog that we’ve announced that has grown quarter-over-quarter and the opportunities that we see, we’ll be making decisions essentially in what’s going to be in the best long-term interest of the company and our customers and our shareholders. And we did that this year. And I know I think from an analyst perspective, some folks were a little surprised that we had a year where we took our revenue down to a $50 million to $100 million range as we did this year, but a lot of that was foregoing some immediate revenue we could have had at, say, I don’t know, 10%, 12% gross margin in return for nice lower double-digit unlevered IRRs and long-term streams and EBITDA streams that would be anywhere in the 60% to 75% range with the right project financing. So I would say to answer your question in terms of the guidance for next year, we’re going to be cognizant of the commitments that we made. We take those things very seriously, and we’ll make decisions on whether we decide to build and turn over projects to customers or decide to keep them on our balance sheet. By the way, always cognizant also of ensuring we’re going to be turning cash appropriately. So that may result in scenarios where we may decide to turn cash and deliver projects or otherwise, given the access to capital that we have, holding them for the long term.
Justin Clare: Okay. Great. Thank you.
Operator: And the next question comes from the line of Alec Scheibelhoffer with Stifel. Please proceed with your questions.
Alec Scheibelhoffer: Hi. Thanks everyone and thanks for taking my question here. So I just want to focus in a little bit on the ‘24 guidance here. Naturally, the quarterly revenue progression could be a little lumpy here. But I was just wondering if you could provide us like a little benchmark with what you expect to hit in the fourth quarter, what you feel the most confident and just some of the timing on the projects that you have pending?
Robert Piconi: Sure. Yes, we – this was formally in our announcement, I think, there in the specific guidance, and Michael referenced this as well, but we’re tightening up the range a bit. I think we said to the mid to lower end of that range just based on how we see shipments coming in and revenue recognition and what we see today. So we feel very good on that lower end of the range. And then pending how things get delivered and installed and given the revenue recognition rules, we’ll see how much closer to that mid part of that range, we feel like we can hit. I wouldn’t rule out other things and good things that can happen in the quarters as they did in our 2022 year where we had about $80 million additional revenue come in just through shipments that we were able to expedite. So it remains a bit of a dynamic side, but feel very good on the visibility we have into getting to that low end of the range. And then depending on how other operational items and the shipping items go, we will determine where we get into that mid-part or upper part of that guidance range.
Alec Scheibelhoffer: Got it. Appreciate the color there. And then just kind of a follow-up, naturally, during your investor conference in May and as you’ve highlighted during the call today, kind of building out that own and operate strategy is kind of a hallmark of just trying to enshrine some of the quarterly progression and get a little bit more visibility. I was just curious when we think about ‘25, how is that going to progress on a quarterly basis? And just what would you expect to kind of fall into that 2025 time frame versus slipping into maybe ‘26 or longer term?
Robert Piconi: Yes, I’ll give you a little color on that. And obviously, we’re going to be at our next quarterly for Q4, as usual, we’ll be giving that full formal update to the 2025 guidance that we gave before. But as you’re building and operating projects, it’s just really math. If you’re signing long-term 10 to 15-year agreements, obviously, those are going to build over time. And the way we’re going to start looking at that is this quarterly run rate of EBITDA that’s going to be coming from those tolling agreements or those PPA agreements. And if you look at those on a quarterly basis times 4 and annualize them, we want to be getting up to an annualized rate of EBITDA in the $50 million, $75 million, $100 million on a quarterly annualized basis here over the next 12 to 24 months. And that’s just on those project sets. We’re still going to be executing around supporting some of the gravity license build-outs and the royalties that will be coming. We gave some guidance on that. And that is unique, I think, with us as an energy storage company that we have technology that we can actually monetize in long duration on licenses and royalties. So that’s exciting. I think some of the things I mentioned around gravity and the partnerships that we’ve built and formed in some regions of the world where gravity is going to play a role. So we’re excited to have that continue to evolve. But we also have been innovating in new projects, leveraging our expertise that spans different technologies and different technology domains, leveraging our knowledge, for example, of civil and structural engineering and material science and using that to help optimize our battery projects, not only for core straight execution, but looking at new solutions to address energy density in a way that’s been difficult to address before in tight spaces. And especially as we think about the data center build-out and what’s unique about that. Not all data centers are built out in the middle of the desert or in the middle of large landscapes, there is a lot of places and places in the grid and where there are data centers and desires to have data centers that are in areas where energy density and space is at a premium. So, thinking about our expertise we bring to the table across various technologies, bringing that creativity, I think Calistoga is a great example of an RFP that came out that didn’t say, give me a green hydrogen microgrid solution. It said, we need a backup that’s not diesel generation for the city for two days in case of a PSPS event. Uniquely, our team brought a solution together to sustainably design a system with green hydrogen, hybrid, with lithium-ion to address the grid forming needs and to address black start. That’s expertise we have focused on solving a customer problem and not focused on shoving a product down a customer’s throat because we happen to make it. I think that’s unique to Energy Vault. I think with our software experience, we bring that expertise to the table. And I would say that, that part of the business, complementing what we are going to choose to own and operate is going to be quite formidable, I think as a company and as an investment thesis for investors that are looking at really driving that innovation home with getting to a larger percentage of our revenue that’s going to be predictable and recurring and high margin.
Alec Scheibelhoffer: Excellent. That’s great color. Appreciate taking my questions here and I will turn it back.
Robert Piconi: Alright. Thanks Alec.
Operator: And the next question comes from the line of Chris Ellinghaus with Siebert Williams Shank. Please proceed with your question.
Chris Ellinghaus: Hey. Good afternoon everybody. Have you guys made any adjustments at all to the Snyder project in terms of capacity or your thoughts on capital costs or anything along those lines?
Robert Piconi: There has been some adjustments on that, that I would say initially, as we announced that project with Enel and working in cooperation with their R&D team. They had a series of asks with us of what they wanted to see in our gravity energy storage technology. We did end up buying that interconnect there. That’s what we announced in the Cross Trails project, Chris. So, that’s one of the sites that we are going to own and operate because we bought the land and that interconnect out there. But we also did that in line with Enel’s request to not only look at our EVx technology and get it demonstrated at full scale, but also other applications of our gravity. And that includes the products we announced at our Investor and Analyst Day, so the EVy, which is our slope-based technologies, which you can apply to different landscapes and pre-existing slopes as well as what we announced in our – what we call our EV0, which is the modular pump hydro technology. So, that equipment, for example, for EV0 arrived at the site about a month ago in Snyder. The EVy is going to be the first technology actually up and running, and we have customer visits planned, and that will all be up and running before the end of the year. And then EVx will be coming online just after EVy in Q1. So, what we have built in Snyder now is a multi-asset, multi-technology site that will also represent all of our latest innovations with our software capabilities. So, we put one of our B-Vault battery systems there that is doing energy storage as well as that will be taking the power generation from PV that we are building at the site, be charging those systems, orchestrating the discharging, and we will be highlighting other capabilities of our software. So that center, we have essentially developed into more technologies on gravity than just EVx, and that’s been in collaboration with Enel. But in addition, we are using that site more broadly to demonstrate a lot of other capabilities and then using that interconnect as well to build out one of the assets we are going to own and operate, so very excited for that. And in the next, essentially two months to three months, we will be bringing some of those systems up and we would be excited to host you out at the site if you ever get into that area there. It’s about a four-hour drive outside of Dallas there in Snyder.
Chris Ellinghaus: Okay. Great. That’s helpful. Do you have any insight that you can provide on the unannounced Australian 200-megawatt hour [ph], when that might be public?
Robert Piconi: Chris, I am sorry, there was some breakup in the line. I am getting some feedback here. I don’t know if it’s on my end. But would you mind repeating the question? I heard about Australia and projects, but I didn’t get specifically the color you wanted. Can you repeat that?
Chris Ellinghaus: Yes. The unannounced 200-megawatt hour project, do you have an insight into when that might be publicly announced?
Robert Piconi: Yes, sure. We are expecting that announcement this quarter. So, I was just there in Australia and met with some of the principles of that project, but we expect that to be announced this quarter.
Chris Ellinghaus: Okay. As far as financing goes going forward, you are working on project financing and monetization of credits at the moment. Is that what you foresee for the foreseeable future as the paradigm, or do you see adding other things to the toolkit as well?
Robert Piconi: Yes, I would say it’s a great question. So, we will be continuing to do what I will call is more standard project financing mechanisms. As I mentioned earlier, those models are quite well proven, attractive, including there is a very liquid market on the tax equity in the ITC side. So, I think Michael referenced some of that already in what he just walked through. But we are also, as announced, working with Jefferies on other mechanisms in order, so we are going to be creating abilities for us to be able to execute multiple projects that we see and not only the U.S., Australia, we mentioned the pipeline that we are working on there, which is quite large. So, this is not going to be the case going forward like it happened this past year, where we are financing this off of our own balance sheet as we did the first two projects and then putting the cash back, as we mentioned. We have obviously – having no debt, we have had the flexibility to make the choices to go ahead and invest off of our balance sheet. And while in parallel, we are getting the project financing done. But I would say going forward, strategically, we are going to be working, I think in a little more thoughtful mode of creating ways and non-dilutive ways, okay, non-dilutive ways for us to look at having sources of capital. That may include partners, for example, and that may include strategic partners, meaning people that have invested in the company, whether pre-IPO or post.
Chris Ellinghaus: Okay. That’s great. You guys seem to gloss over the December 11th, 12th dates, I was kind of curious if you had any other details for that. And since you bring up Snyder, are you thinking about doing some kind of event at Snyder next year?
Robert Piconi: By the way, it’s a great comment and question. We did not mean to for sure to gloss over, I was going to finish with some of that, but we are excited about the event there in Calistoga and hosting folks. So, there will be more about that. We chose there in Calistoga given the uniqueness of the microgrid. I think the passion, and I don’t know another word how to say it, of the local community, the excitement they have to have the system online, but we are choosing a time prior to the full hot commissioning. So, actually, it will allow us to interact in and around the site there where we are in a soft commissioning mode. So it will be able to, I think get a little closer to everything there at the site. So, I think that’s just – that really fit given that’s going to be a first of a kind and first of a kind online. And the first ultra-long duration, meaning multi-day sustainable storage type of project of its kind. And to your point on Snyder, absolutely, I think as we get some of the other – in the full set of what will be three different gravity technologies between EVx, EVy and the modular pumped hydro up and running in the next two months to three months, combined with the software that’s going to be orchestrating that, including the coexistence of the generation PV in this case with multiple storage technologies, we will absolutely be planning something there. And I appreciate the proactive push and idea set there. We have not announced that yet, but I guess you are announcing that for us now, and we will make sure it’s on our action list here for the coming quarter and next. Thank you, Chris.
Operator: And the next question comes from the line of Noel Parks with Tuohy Brothers. Please proceed with your question.
Noel Parks: Hi. Good afternoon. I had a battery storage question and a gravity storage question. So, you did mention applying your expertise to look at achieving greater energy density. And I was thinking about technology improvements in general on the battery storage side. And what would such advances, say, also something that could increase battery life, what would those do to project economics over time? I am thinking if you have longer contracts over time as you replace modules and so forth, maybe be able to upgrade them, what might that look like in terms of an impact?
Robert Piconi: Look, I think first of all, we are looking at and we will be announcing some very innovative things relative to new ways to achieve very higher, ultra-high density relative to integrating, for example, structural options with our civil structural material science expertise combined with what I will say broadly, battery energy storage, so think about that as any container-based energy storage that may be short duration LFP type. It might be longer duration types of storage. And with a focus on low cost, which we have had a lot of experience in that optimization and, for example, reducing volume of concrete through eliminating rebar and steel and the structural design of concrete and replacing it with fiber reinforcements, for example. That has benefits in safety, for example, in looking at the impact if temperatures heat up and the impact of those materials. And so that’s the second aspect around ensuring we are looking at safety and working with the right constituents there as we design new systems. That’s, again, fundamental and foremost, Noel. And I will go back to what I mentioned with Calistoga and other ways we approach customers. We think about solving the customer problems, okay. So, if you look at areas in higher density cities, for example, or even on just the outskirts where that energy density is at a premium and where you could have a like fit to function technology that historically has not been able to achieve those energy densities and thinking about how we think about building and using structures to do that. These are things that are actively on our mind that customers are interested in. We are collaborating with a few customers with some new solutions there. And it’s, we are not ready to announce those yet. As you know, when we announce things, we announce them with customers, okay. You haven’t seen necessarily product announcements from us that aren’t accompanied by some customer with it. And you can expect that to be the case here. I am sorry, there is some feedback on the line. Hopefully, you could hear me. But in any event, so that’s what we are thinking about there on energy density. I will also tell you that generally, with what’s happening in the battery world and pricing, we have seen at least 50% drops over the last year in fundamental LFP batteries and other technologies that are attempting to get to market and scale, potentially looking at longer duration. But generally, we are not going to be someone that drives that innovation curve, meaning that there is plenty of people out there much bigger than us that are going to be focusing on that. You can consider some of that commodity technology that’s about volume and getting price down. We are going to be focused on a lot of this surround, the value add, that wrapper, the ability to not only manage what’s happening in and around those systems with safety, reliability, guaranteeing availability of power, but also something that’s going to move up that stack for broader asset management and even getting the higher-level software functions in bidding, for example, in optimization around bidding platforms as we have built our software team in the last few years and the expertise. So, that’s that area we are going to be playing in. And some of it will include some of our own product innovation like you just asked about, which is around how do we achieve better energy density. So, more to come there, I wish I could say more, I am excited to, but we are going to have to wait just a little bit on that.
Noel Parks: Great. Thanks. And then I was just thinking about Rudong, and you mentioned the additional data that’s becoming available and so forth. And it’s not a new project anymore since it’s been up and running, so it maybe doesn’t come up as top of mind. But with all the experience now of having built the first gravity storage project out there, I just wonder if you have any thoughts at this point about how subsequent iterations might see better efficiency, might see reduced timelines and so forth. I am just wondering if there is anything that stands out for you that you know you can look forward to in future China gravity storage projects.
Robert Piconi: Well, it’s a great question. And let me share a few things here because it’s been a real learning there. And as we license technology, okay, when you do that, you are allowing a certain level of flexibility for that region or country to customize the technology to its own individual needs. So, for example, in China, while we licensed the core technology there, we had a lot of innovation that we licensed, for example, in and around fiber reinforced concrete, which serves to take out some of the volume you would have in pure cast in place. So, we have a lot of innovation in the pre-casting, for example, that we have proven out in Snyder and at our R&D site in Switzerland. In China, they chose to go with cast in place because that’s what they do. That’s how they have always done it. That’s how they do at very low cost, for example. Due to the cost of labor being so low there, we had a lot of automation even in construction that, in some cases, they chose to use labor because, again, it was cheaper and known. So, I think first of all, to your – it’s a great question. The iterations of our gravity technology will look different dependent on how it’s going to be customized locally. And that’s one of the beauties of gravity energy storage and the way we have designed it because in countries like China, like India, like, for example, in the region in South Africa there, where they can basically source 100% of all the components and build it locally, it gives them the flexibility to choose where they want to maximize their efficiency and performance and cost. Sticking with China, for example too, on an efficiency basis, they made changes to the design just based on their own local safety standards. And in some cases, that involved increasing the weight of the cage that carries the block and therefore, increasing the counterweight, for example. And all of these things may have an impact on the scope of the, let’s say, the full innovation design that we did. But all of that doesn’t have a large impact in terms of performance, which is why I was very excited to share what I shared, which even with those changes I just mentioned, okay, the changes of increasing that safety factor a bit, increasing the weight, that increases the thickness, for example, of this innovative ribbon system, which they did choose to implement, okay. They chose to implement the most innovative new ribbon lifting system, but the belt itself on that ribbon that’s in steel because of the weight increase and the size, that’s thicker and therefore, there is a slight impact around trip efficiency. But the fact that we are achieving an 82%, 83% from some of the initial data that we have there is unprecedented in any thermodynamic process, any type of compressed air, liquid air, any other mechanical storage, any pumped hydro. It’s the most efficient data point in the world that’s not lithium-ion, okay. And that’s exciting. And so just to close on your question, we have learned a lot in both core design, but also the practicality of how it’s built. Andrea Pedretti, our CTO and our software team and Chris Wiese who runs our engineering and our labs group, they were just in China the last 10 days. That’s where this data actually came out. We had our partners Hebling [ph], which is an engineering – software engineering group out of Switzerland there as well as a third-party with us. And really interesting, I think their implementation and how they are developing it and will be different and customized, I think by region. And all of that, I will finish with all this experience is helping us think through how to apply these designs and the innovations in civil and structural engineering, working with, for example, Bill Baker from Skidmore, Owings & Merrill and Jose Andrade, who is from Caltech that spends, let’s say, a good chunk of his time with us from his research and academic side and has been with us. So, all of that innovation is what we are putting into where you started your last question, which is new innovations, achieving energy density, and we are excited about sharing more about that in the future.
Operator: And ladies and gentlemen, at this time, we have reached the end of the question-and-answer session. And now I would like to turn the floor back over to Robert Piconi for any closing comments.
Robert Piconi: Great. Well, look, I again want to thank everybody for their time. And I am sorry, we didn’t get to all the questions here, but we will be following-up with folks as normal post the call. We are excited, hopefully, as you get a sense of in the progress we are making and going in here to definitely an exciting finish on the year. But I think more importantly, seeing the execution of our strategy for the long-term and how that’s getting built out and manifest itself, I think and now what you are seeing in a lot of the recent announcements and more to come there. And finally, just to thank again all the people and employees at Energy Vault and their support and all of our investors, partners and the customers that keep us doing what we do. So, thank you everyone very much.
Operator: And ladies and gentlemen, that does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.